Operator: Good day and thank you for standing by. Welcome to the Q3 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today, Ms. Flora Wood. Please go ahead.
Flora Wood: Thank you, Francine. Good morning everyone and welcome to our Q3 call. Our press release and quarterly filings were released yesterday after the close and are available on our website. This event is being webcast live and you'll be able to access a replay of the call along with the presentation slides that have been added to the website at altiusminerals.com. Brian Dalton, CEO and Ben Lewis, CFO, will both be speakers on this call and then we will open it up for your questions. The forward-looking statement on Slide 2 applies to everything we say, both in our formal remarks and during the Q&A. And with that, I will turn it over to Ben, to take us through the numbers.
Ben Lewis: Thank you. Flora, and good morning everyone. Thank you for joining us. Q3 royalty revenue of $20.8 million or $0.50 per share is higher by 28% from the comparable year-ago period and down by 5% from Q2 2021 royalty revenue of $21.9 million or $0.53 per share. Year-to-date revenue of $60.5 million or $1.46 per share is up 33% from the $45.5 million or $1.9 per share recorded for the same period in 2020. Q3 adjusted EBITDA of $16.9 million or $0.41 per share compares to $12.4 million in Q3 2020 and $17.7 million last quarter. The EBITDA margin for the quarter was 81%. Adjusted operating cash flow of $18.9 million or $0.46 per share compares to $7.3 million in the third quarter last year and $5.8 million in Q2 of this year. On a year-to-date basis, up including cash flow of $33.5 million as comparable to the $33.9 million reported for the prior year nine-month period, which had benefited from lower cash tax instalments as a result of payment flexibility granted by tax authorities during COVID-19. Quarterly net earnings of $10 million or $0.24 per share includes $0.04 in mainly non-cash adjustment items that are identified in the waterfall table and slide that you can find on our website, leading to adjusted net earnings of $0.20 per share. The Board of Directors has declared a quarterly dividend of $0.07 per share, consistent with the 40% increase that we announced at the end of last quarter. The dividend will be paid to shareholders of record at November 30th with the payment date in December 15, 2021. Now to the balance sheet and capital allocation. The cash position increased to $30 million at the end of Q3 after strong royalty based cash flow generation and cash generated by net sales in the Project Generation business. This amount does not include the ARR cash balance of $69.8 million, which we consolidate in our financial statements as a result of our 59% ownership in ARR. The debt balance at quarter end consisted of $50 million outstanding under the term facility and $68.7 million drawn against our $175 million revolving facility. Scheduled principal repayments of $5 million were made during the quarter. Going forward, this scheduled amount reduces to $2 million per quarter in accordance with the recent credit agreement amendments that were negotiated in order to increase our capital allocation flexibility, while also expanding our total available liquidity. We continue to be active during the quarter under our normal course issuer bid as well and have repurchased and cancelled 585,300 shares or 1.4% of the shares outstanding during the nine-month period ended September 30th. That's my main remarks today and now I'll turn it over to Brian.
Brian Dalton: Thank you, Ben. Thank you, Flora. Q3 was another good one overall for Altius that saw a strong rebound in royalty revenue, EBITDA, and cash flow from year-ago levels as well as strong cash generation in sales and select equities from our project generation equity's portfolio. We also had a lot of positive news flow related to our internal growth pipeline royalty. During the quarter, there were noteworthy operational improvements at Chapada, with strong royalty distributions related to our indirect IOC holdings. These were offset by slightly lower throughput at 777, annual maintenance shutdowns at several of the Saskatchewan potash mines in at Voisey's Bay, Long Harbour processing facility, and an outage at one of the three power generating units at Genesee. Base metal prices continue at favorable levels. Potash market prices are at multi-year high with realized prices following, but on the typical lag basis. Iron ore prices have recently retreated from all-time highs seen earlier in the year; however, remain at healthy levels on historic basis, particularly with regards to our product exposures that attract significant purity based premiums. Reading through the commentary and updates we have been receiving from our operators, it suggests that Q4 has the potential to be another very solid quarter. Chapada is expected to benefit from continuing strong mill throughput in copper recovery. Annual maintenance programs have now been completed at the potash mine and Nutrien, in particular, are expected to continue to ramp up production levels into pre-built capacity in order to meet unprecedented global demand. Mosaic also continues to accelerate the ramp up of production from the K3 area of the Esterhazy potash mine to offset lost production related to the early closure of K1 and K2 earlier in the year due to water inflows. Long Harbour plant maintenance has been completed and the new Reid Brook nickel mine at Voisey's Bay continues to ramp up and contribute to overall production levels. Genesee expects to be fully operational again before the end of the quarter. Altius Renewable Royalties experienced a tremendous quarter and its business development history. With the underlying GBR joint venture, which ARR holds equally with Apollo, successfully deploying over $100 million of new investments. Its Royalty portfolio has now grown to 16 projects with collective capacity of more than 3.5 gigawatts of wind and solar generation, and it has announced that its expected timeline for reaching the milestone of positive cash flow has been moved forward to 2022. We are taking up an increasing number of potential organic growth signals related to several of our operating and pipeline royalties. And over the coming year, we are looking forward with great anticipation to host further operator announcements that could represent meaningful growth catalyst for our business. To highlight a few, Lundin Mining has indicated that it will report upon its major ongoing near-mine drilling program at Chapada as well as parallel mine expansion studies over the course of the year. Champion Iron expects to complete report in H2 next year on the results of the updated feasibility study for the Kami Iron ore project where we hold a 3% title registered gross sales royalty. It is noted that this study is evaluating the potential for Kami to produce ultra-high purity product that could serve the non-coal-based direct reduction electric arc furnace, steelmaking sub-segment, which further notes to be gaining market share quickly around the world as emission penalties become increasingly factored in the cost structures. AngloGold Ashanti reported during the quarter that it has discovered two potentially significant gold deposits at the Silicon projects in Nevada, over which we hold a title registered 1.5% NSR royalties. It is currently completing initial resource estimates and economic studies that it expects to report on in coming months as part of what it is describing as a potential Tier 1 production opportunity in Nevada. That's actually worth repeating a potential Tier 1 gold production opportunity in Nevada. Lithium Royalty Corporation, a private company that we hold 12.6% co-founding interest in, holds several royalties that catalysts for developing. It has a royalty related to NeoLithium's large scale Tres Quebradas lithium brine project in Argentina that has recently delivered a positive definitive feasibility study, chief pilot level production of commercial-grade product, and is the current subject to the friendly takeover bid by Zijin Mining. LRC also holds royalties over Sigma Lithium's Groto do Cirilo project in Brazil and Core Mining Finniss project in Australia, both of which are spodumene-based lithium projects that have announced construction cells. Altius owns direct royalty relating to Tres Quebradas and Groto do Cirilo that were acquired under 10% co-investment rights with LRC. For those interested in learning more about LRC, I'd certainly suggest visiting the lithiumroyaltycorp.com site and you can see just how much progress that business has been making. Adventus Mining recently published a positive definitive feasibility study for the copper, gold, and zinc rich El Domo deposit in Ecuador and expects to report on project financing and permitting activities over the next several months. Here, we hold the title registered 2% NSR royalty. Speaking more broadly now, it is clear that inflationary forces are building in both the mining and power generation sectors. And while this is pressuring all operators, we believe it to be a strong overall net positive for our business. Our exposures are generally calculated at or near top-line rather than marginal, meaning that we aren't directly impacted by inflating capital and operating costs, but are beneficiaries of any product price increase that the higher cost structure is ultimately resulting in. This is beginning to feel quite reminiscent of what played out in the middle part of the prior market up-cycle and that resulted in supply incentivization prices moving up sharply over the course of a few years. For example, we estimate that the copper incentive price would have been in the 120 range in 2007. By 2012, we see the $3 a pound with actual market prices following along nicely. Recent charts in the opening part of our Investor Day presentation from earlier in the year that illustrate what happened back then for anyone interested, it's available on our website. Finally, several of you have been asking about our potential participation in a series of sales processes that have recently been launched relating to base metal focus royalty portfolio. Altius is evaluating these opportunities both technically and financially and using our disciplined long-term per share growth focus and investing approach. I can't say I'm overly confident that anything will result for us in these processes, but can say that once such source of attractive long-term growth and value that we have been able to identify and continue to regularly purchase called Altius Minerals. Thank you and I'm happy now to turn it over to questions.
Operator:  Your first question comes from the line of Carey MacRury from Canaccord Genuity. Your line is now open. Mr. MacRury, your line is now open, if you are mute please ummute.
Carey MacRury: Yes I was on mute yes sorry. Good morning, everyone. Maybe on potash, I know you've talked a bit about the lag on pricing. But if I look at sort of normalized volumes and also the potash prices had a huge move in Q3, it sort of implies your Q4 revenue could almost double. Is that sort of in line with your expectation?
Brian Dalton: Yes, the past pattern holds – I mean really our realized price looks a lot like the prior quarter's market pricing. So the move in Q3 would expect that in Q4, maybe stretching in the Q1 next year a little bit. And then, I'll just go on to say that - what we heard from the operators on their calls was that they'd expect to realize current market pricing mostly in Q1. So again, same sort of pattern, current pricing - about one quarter lag, I think if you look at that way over time that's what's been playing out well for us. So yes, it should be related to barn burner type finish in potash.
Carey MacRury: Nice thanks. And then maybe on iron ore, obviously a lot of volatility going on in the iron ore sector in the last month or a couple of months. Just sort of your thoughts on where you see iron ore right now?
Brian Dalton: It's obviously come back, but from what, the key point here. I mean that was - that price of mid-year here never felt very comfortable and we think it's healthy at that level. Where we're to right now is - I think is a pretty healthy overall level. There is obviously a huge short position in iron ore right now, so I don't know how fundamental the price we're at today. There is sentimental market noise out there. One thing I would point out is that if you look at it on a year-over-year basis, prices are down if we're dealing with lower quality products, maybe down by a third or so year-over-year. And if you look at the hiring, so say that 65 or 66 benchmarks as well as the pellet premiums, we're actually up - November to November one is was something like up 14 for the 66 and up 18 on the pellet premium. So that bifurcation is part of the story continues. If you read the headline and the benchmark is left as quoted, but it's not everything. Some of the pressures that are on iron ore right now come from pressures that are being posed on the steelmaking industry to cut emissions and a lot of that is in China. And I think that's why you're seeing less negative impact or relative outperformance in the higher end of the spectrum. It's just the market rationalizing the cost of emissions as part of the overall  line we're making, but long and short of it is that that was fun through the summer and we'll be looking at $300 pellet prices, but it is never realistic. It is at the level of the healthy level. We expect still very strong yield, I think at least our purchase price buy our shares at anything close to these levels. And I'd also go as far as to say that I think these levels and even less than that would still be sufficient to incentivize growth, particularly for higher and higher-quality product and we are not seeing they are seeing are good.
Carey MacRury: Okay, great. And then maybe my last one for me and then I'll pass it on. But just it looks like Lithium Royalty Corp., bunch of their projects are moving forward. Just wondering your thoughts there and how Altius ultimately will benefit from that?
Brian Dalton: Yes, I mean - I think it's probably a bit more visible to our shareholders just how well Altius Renewable Royalties has done and it's out there and it's a public company. But if there is another royalty company out there, new, that has done at least as well if not better over the past few years in launching from a zero start, it would have to be LRC in my opinion. They really picked asset well. They took full advantage of the big sell-off in lithium beginning in around 2018. And we're able to put a lot of really good capital to work on good projects. And now they're seeing the fruits. Lithium obviously as a commodity is acting really nicely here, pretty much exactly as a function of the big burst in global resales that's underway, and investments are getting made in the projects that they bought royalties on. These are getting built. So as far as - from Altius's perspective, we're really happy with the investment. Not really for us to make the call, we're just a shareholder in terms of what the ultimate path for LRC is, whether it maybe becomes a public company or any other type of corporate transactions are in store, I don't know. But overall as far as - we made our decision with regards to lithium that it was going to be a better investment for us if we were to join with people that could focus on it on a very dedicated basis rather than trying to do it completely on our own. And we chose the team we did, and then I'll give a big shout out to Ernie Ortiz, CEO there, and really couldn't be happier with it. They were all say about it analysts that we're extremely happy holders and probably willing investors in further growth there.
Operator: Your next question comes from the line of Craig Hutchison from TD Securities. Your line is now open.
Craig Hutchison: Just a follow-up question on potash. In terms of volumes, obviously there are some capacity constraints here in the third quarter due to some maintenance issues. But any sense on kind of where the volumes are this quarter and maybe what we can kind of expect for next year? Can we be back to kind of similar levels to maybe Q1 where they're quite stronger or any sense there would be helpful?
Brian Dalton: Yes, there's obviously a fair bit of seasonality in that business to get supplied in the spring and again in the fall, so volumes can be - at least sales, I should say, can fluctuate around over the course of the year. And then, it's been typical for many years for annual maintenance programs to be carried out in late summer. There's probably a bit more of that than usual. It might be a, function of just how hard they've been good mines have been run for the past little while. But if I look at nutrient as a proxy here, they're guiding to somewhere around - I think around a million tons of export overall production this year. So that does imply a pretty strong new quarter and they further commented that they've got the option established and ready to increase that by an even further 1 million ton next year. So in continuation of the pattern we've been seeing for a long time when we bought those royalties. One of the key appeals was that there was a lot of extra unutilized capacity that we bought and paid for that could just be ramped up. And we've seen that since we bought them, a steady volume growth across the portfolio, which is certainly accelerating right now to the point that - I can tell you how many times. I was shot down on that argument about how valuable that optionality was. And I heard back was all well potash is forever oversupplied and - that optionality is going to move. Well guess what? That will get need not pretty soon right now - pretty quickly right now, probably sooner than maybe even the operators would have expected to the point that it's got to be starting to be thought about. When you consider how long capital investment takes in potash before new capacity is built. I think - at current trajectory is here that capacity, that extra capacity to be easily consumed before you could if you start it today have extra capacity built on. So, I just really like the way it's playing out. I'm looking forward to the day when we hear announcing some of these operators that they are pouring more money in the assets to further grow out their capacities, again maybe that's the longer-term answer to what you were asking probably is more or less near term outcome. But look, they're ramping up production. They've got the extra capacity. The only place in the world that does and demand is our scale these foods stocks are low. Farmers are making lots of money. So it's a perfect storm.
Craig Hutchison: Okay well, thanks for that. And just in terms of, obviously you got all the lines in the water and different commodities, but is there any commodity in particular you guys are focusing on trying to increase your exposure to?
Brian Dalton: I think we've covered the spectrum pretty decently. Maybe in the next big downturn, there might be some things we'll try to work harder on to add into the mix. But for now, I think you've heard me say this before for this cycle anyway. I think we are better largely in either in the form of the part of the portfolio that's already cash flowing or all of the pipeline royalties that we're seeing all this good news farm right now. So, we just let it evolve as we go here. If you look at our waiting of revenues by commodity and probably even more importantly if you looked at our waiting on a NAV basis, it won't look that far off of the mix of traded value across the broader metals commodity section. We feel like we're pretty balanced with all, the tweak.
Operator:  Your next question comes from the line of Brian MacArthur from Raymond James. Your line is now open.
Brian MacArthur: Brian, I just wanted to follow-up on your comment that obviously you mentioned base metal prices are maybe not at the bottom right now, you're looking at potentially deals there, but not confident you'll get that done. Is that confidence based on, one, zinc prices are too high and the deals are difficult or is it, two, in the overall scheme of balancing the company, obviously ARR has done very, very well and are deploying funds? I mean you own 59% of it, Apollo owns 50% there, so if they move forward they need more funding. Is it an independent decision or is a part of balance in the overall portfolio. I mean i.e. would you rather be putting more money into renewables now than even base metals?
Ben Lewis: Brian, I think it'd be fair to say we're open minded around M&A opportunities that might come up. You're definitely correct in saying that from a metal prices perspective. Things aren't as attractive as they would have been say in 2015 and 2016 when we were really busy. But that doesn't say that you can still find value and technical situations where you just have an up of the conviction around long-term growth that you can't do something. But more broadly what we've got to balance these days when we look at M&A opportunity is, A) what we believe is a really strong internal growth pipeline. So to the extent that an M&A transaction required us to use equity that will be really tough right now because - but alluding that optionality. And the other factor is, it's all about assets. And I think there is a high bar for us right now in terms of anything we look at, not being dilutive to quality of our own portfolio. So I guess it's a roundabout way of saying that we're open minded, we're doing the work. It's very competitive out there. We know that. So, I just wanted to sort of set a bit of a cautious tone that people hear about all these processes and may be getting excited about sort of big splashy M&A that we're going to hold our discipline here. We will do our best and meanwhile as we've been saying for a while, what we've got embedded in our own structure is we feel really good about. Again, our best is our aim and we think they are really strong.
Brian MacArthur: And philosophically putting more money into ARR from an Altius perspective, how do you think about that? I mean obviously you'd like to be self-funding. Like you said it's got cash flow now, so probably can be but shares, get cheap there and once - you can buy more shares there, if that's attractive?
Brian Dalton: Yes, it's attractive and it is, in the trajectory there in the way that thing is evolving and growing. Adoption is taking place. It has been pretty remarkable - to be part of to be quite honest. I won't go as far as to box Altius Minerals into investment decisions, but if something comes up and there's more capital needed at ARR, I can say with a lot of confidence that at the Altius Minerals level there is pretty open ear there.
Operator: Your next question comes from the line of Orest Wowkodaw from Scotiabank. Your line is now open.
Orest Wowkodaw: It's actually Orest Wowkodaw here. Good morning, everybody. I know you've got a lot of time talking about M&A at the asset level. I'm just curious more bigger picture, whether - just given it's become obviously so competitive to find new opportunities, I'm wondering if there's any - if you see any potential opportunities at the corporate level, perhaps from an M&A perspective to combine with another, call it mid-to-small size royalty company? Not only to diversify further, but also just to put your market cap into a different sphere of call it investable options for institutional money managers, I'm just curious if that's something that is if you see opportunities out there?
Brian Dalton: I mean you've hit upon a great debate topic, I guess. There is certainly a common view out there that scale matters in terms of multiple expansion from those two things. So there's an argument if they can get there. It is hard one for us to get our heads around, meaning any kind of corporate transaction really putting an asset . It still boils down to the quality of the prices . So it would be dilutive to corporate and generate both cycles earn if there is embedded optionality all the same kinds of questions going to due diligence . But I can pretty much tell you as a company and as a Board, growth from the mere sake of that doesn't make sense, otherwise for this gathering.
Orest Wowkodaw: Okay. If I could also ask, can you give us an update on where things fit with the litigation in Alberta with respect to the phasing out of coal power?
Brian Dalton: Yes, I can. So things have been a bit delayed in Alberta, mostly due to COVID. I know there's a hearing coming up. It's not the end of this month. It's early next month. So we had a decision from - it's a sub level to courts in Alberta. A master and other judge that hears it, who ruled against us in the litigation and so that caused us to appeal now to the court system.  So, we're actually in the court system right now. That's coming up pretty soon, at least the next hearing of that appeal, as to whether or not the law suit goes forward or not. And Flora maybe after the call, you could update an interim section on our website that sort of updates progress in filings there so maybe you could make sure that's updated for listeners we'll keep on talking.
Flora Wood: Yes I'll do, the master decision is up there.
Brian Dalton: Is there okay, yes that master decision is going to appeal and it will be heard relatively soon.
Operator: Your next question comes from the line of Adrian Day from Adrian Day Asset Management. Your line is now open.
Adrian Day: Good morning, everyone. Well, the last speaker took my standard question on the court lawsuit. But let me also ask, if I may, about the prospect generates the equity business where you're doing a superb job. I've often said Chad should become a money manager. You obviously had some sales and I don't know if these were primarily based on - were these selling - can you tell us were these selling an entire stake in specific companies or was it just trimming certain stakes? And then the second question on that prospect on the equity business would be, are you actively buying new stakes in smaller companies or are you just looking - you've got most of them through deals you did, but are you actively buying some in the market?
Brian Dalton: On the first part of the question, it hasn't been like sort of trimming across the whole portfolio. It has been pretty focused around a couple of names that it might be little less core for us just because we don't have, say for example, any joining royalty interest or something. And you do think as much as anything for us to boost in liquidity right that's as much when you manage - the size of positions that we manage, that's a real big factor. But, I'm not going to answer what the means are, but it's been fairly targeted. Yes, we are also in the market in certain cases adding to existing positions, adding other small positions here and there. But most of the adds I guess would be names that we already hold and that we continue to have great faith in and when we see market price - market based opportunity we're active there. A few these we're already filing on by virtue of the size of the position, so we probably see that we've added to pretty regularly actually to origin and we added to advantage a little bit during the quarter so, just incremental bits and pieces along the way here when we see real good opportunities and value.
Operator: And speakers, we don't have any questions over the phone. I would like to turn it back to Ms. Flora. Please continue.
Flora Wood: Thank you, Francine. And really want to thank everybody for dialing in. Great set of questions and, we'll look forward to speaking to you again after year-end results.
Brian Dalton: Thanks everyone.
Ben Lewis: Thank you.
Operator: And ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.